Operator: Good morning, and welcome to the Sensata Technologies Holding N.V. Fourth Quarter and Full Year 2014 Earnings Conference Call. At this time, I would like to inform you that this conference call is being recorded and that all participants are in a listen-only mode. For opening remarks and introductions, I will turn the call over to Jacob Sayer, Vice President of Investor Relations and Treasury. Mr. Sayer, you may begin.
Jacob Sayer: Thank you, Keith, and good morning, everyone. Earlier today, Sensata issued a press release describing our financial performance for the fourth quarter and full year 2014. If you did not receive a copy, you may obtain it from the Investor Relations section of our website at sensata.com. This call is being webcast live, and a replay will also be available in the Investor Relations section of our website. Today's discussion will contain forward-looking statements based on the business environment as we currently see it and, as such, does include certain risks and uncertainties. Please refer to our press release and our 10-Q and 10-K filings for more information on the specific risk factors that could cause our actual results to differ materially from the projections described in today's discussion. In addition to U.S. GAAP reporting, we report certain financial measures that do not conform to generally accepted accounting principles. We believe these non-GAAP measures enhance the understanding of our performance. Reconciliations between these GAAP and non-GAAP measures are included in the tables found in today's press release as well as in the Investor Relations section of our website under Financial Reports. Comments made during today's call will primarily refer to our non-GAAP financial results. On the call with me today are Martha Sullivan, our President and Chief Executive Officer; and Paul Vasington, our Chief Financial Officer. We will hold questions until after our prepared remarks, but if you’d like to get into the queue please do so by pressing the star key followed by the number one. I will now turn the call over to Martha to review highlights from the quarter and trends in the end markets we serve. Martha?
Martha Sullivan: Thank you, Jacob and thank you all for joining our fourth quarter 2014 conference call. The fourth-quarter [capped] an exciting year for Sensata. We closed the largest acquisition in Sensata’s history during the fourth quarter, extending our market lead in pressure sensing and significantly enhancing our sensing capabilities. Schrader was the fourth meaningful acquisition completed in 2014 demonstrating our ability to repeatedly identify and complete value creating M&A that is additive to Sensata in multiple ways and closely aligned to our strategy to win in sensing. We delivered approximately 7% organic revenue growth during 2014, including 6% content growth consistent with our plan and guidance. Core adjusted net income margins continued to improve reaching 19.8% for the full year 2014 compared to 19.4% in 2013 demonstrating our ability to grow earnings faster than revenue as a result of continuous improvement and we put nearly $1.5 billion in cash to work for shareholders during 2014 between M&A and share buybacks. I would like to thank the team at Sensata for delivering a great fourth-quarter and full-year in 2014. Financial highlights for the fourth quarter include net revenue was a record $705 million, an increase of nearly 40% from the fourth quarter of 2013. We are off to a great start with Schrader, which contributed nicely to growth in the quarter topping expectations for revenue at $133 million and adjusted net income for the fourth quarter was $98 million or $0.57 per diluted share. This includes $0.05 of dilution from Schrader, a better-than-expected outcome. The business is performing well in each of our largest end markets. For Sensata the most important driver of organic revenue growth is our ability to convert new business wins into revenue by designing new or additional sensors into automotive, heavy vehicle and industrial equipment. This additional content is both long cycled and sticky driving our organic revenue growth for many years and is a much greater contributor to our organic revenue growth than the movement of underlying end markets. Our revenue from the European automotive end market grew 52% in the fourth quarter as compared to the year-ago quarter, primarily as a result of the impact of the acquisition of Schrader and content growth that outpaced production growth. In addition, according to third-party data, European new passenger car registrations were up 5.7% in 2014, as compared to the prior year. Accordingly while third-party market forecasts currently call for roughly flat European auto production next year, we believe registration data suggest we will see some modest growth there in 2015. Our revenue from North American auto grew 75% as compared to the year-ago quarter, reflecting the impact of acquisitions, production growth and sensing content growth in the region, offset by product obsolescence. We also continue to perform well in Asia automotive markets, with revenue up 18% from the year-ago quarter. This is driven primarily by growth in China, where Sensor revenue continues to grow about twice automotive production growth, demonstrating strong content growth. Our revenue from the heavy vehicle off-road market grew strongly this quarter, up 70% from the year ago quarter, reflecting the acquisitions of DeltaTech Controls and Wabash. We also serve HVAC and industrial end markets with both our sensing solutions and electrical protection products. We have been leveraging technologies from the sensors business for the benefit of OEMs traditionally served by the controls business. This has proven increasingly successful as industrial and HVAC OEMs have needed to address energy efficiency requirements similar to those faced by automotive OEMs. As a result a small but fast-growing industrial sensing product line has been expanding that we have historically reported as part of the Sensors segment. To better enable our content growth and support these OEMs during the fourth quarter we moved the industrial sensing product lines into the controls segment. Results described on this call include that reclassification. Sensata helps satisfy the world's needs for a safer, cleaner and more efficient environment by sensing physical phenomena and translating that into valuable data that can be utilized in closed-loop control systems. We collaborate closely with OEM customers to identify new applications at early stages of development and then design mission-critical custom sensors that solve hard to do problems. Our sensors enable these applications and become a critical component of the operation of the overall system. We have multi-decade long relationships with our OEM customers and are recognized for being able to solve some of the most difficult sensing problems they have. In 2014 we achieved 6% content growth in line with guidance for the year. For 2015 we expect content growth will contribute 7% to 8% growth to our organic revenue growth. We do expect that content growth to improve through the course of 2015 as the OWS headwind abates and Euro 6 driven shipments accelerate in the second half of the year. During the course of 2014 we signed new business wins worth $400 million in future annual revenue, a substantial increase from prior years. During October we closed the acquisition of Schrader International, the leading provider of tire pressure monitoring sensors and we have had a great start together. TPMS is the largest and fastest growing application of low pressure sensing today driven by regulations. Schrader’s rapid content growth will appear mostly as acquired growth in Sensata’s financial reporting for the first year of the acquisition. Schrader has a robust business pipeline and the strength of the combined business recently enabled a design win with a leading automotive OEM in China for their tire pressure sensors, demonstrating the promise of revenue synergies from the transaction. The integration of Schrader is on track and we are very excited to have the successful and well respected team join Sensata. We had a terrific 2014. We were very successful in doing what we promised shareholders with regard to earnings growth and superior deployment of capital through high returning acquisitions and share repurchases. We have never been better positioned to create value here at Sensata. Looking ahead, the M&A pipeline remains robust and we continue to pursue proprietary discussions with potential partners. I'd now like to turn the call over to Paul to review our fourth quarter results in more detail and to provide first-quarter and full year 2015 financial guidance. Paul?
Paul Vasington: Thank you, Martha. Fourth quarter 2014 net revenue of $705.3 million increased 39.7% compared to the fourth quarter of 2013. Of this acquisitions contributed 37.5% and organic revenue growth was 2.4%. Organic revenue growth for the full year was 7%. Adjusted net income was $97.7 million or 13.9% of net revenue. Adjusted EBITDA for the fourth quarter was $158.7 million or 23.5% of net revenue. When compared to the prior year, profitability indices are lower due to the impact of acquisitions, which include integration costs of $15.9 million. Productivity gains continue to be robust and more than offset price declines in increased R&D investments needed to support our growing new business pipeline. Excluding the impact of acquisitions, adjusted net income as a percent of net revenue for the fourth quarter was approximately 21%. Cash taxes in the fourth quarter were approximately $8.4 million or 6.1% of adjusted earnings before interest and taxes, consistent with our overall target. During the quarter, we recorded deferred tax income tax benefits of $45.6 million, primarily due to the release of a portion of the U.S. valuation allowance in connection with the acquisition of Schrader, for which deferred tax liabilities were established, primarily related to acquired intangible assets. We expect cash taxes for the full year 2015 to be in the range of 5% to 6% of adjusted EBIT. Financing and other transaction costs were $13.1 million, primarily related to M&A deal costs in the fourth quarter were added back to our non-GAAP results. Restructuring and special charges of $5.9 million to improve our operating systems and process to deliver greater productivity were also added back in the quarter. Schrader was dilutive to Sensata’s adjusted net income per diluted share by $0.05 in the fourth quarter. This was better than expected and due to strong revenue and better execution in productivity gains within the business. Consistent with previous guidance, we expect Schrader to deliver $0.18 to $0.21 of adjusted earnings per share accretion in 2015, growing to $0.50 to $0.55 of adjusted earnings per share accretion after integration and debt pay down. Cash at December 31, 2014, was $211 million. During 2014 we spent $1.3 billion in acquisitions and invested $144 million in capital expenditures. Capital expenditures were higher than our guidance reflecting accelerated action to expand Schrader’s manufacturing capacity in [Gu Cheng] China facility, working capital spiked during the latter half of 2014 and excluding acquisitions remains elevated of normal inventory levels as a result of efforts to support ongoing enhancements to our operating processes and systems, including the Oracle ERP upgrade completed in the third quarter. As a consequence free cash flow was less than expected in 2014 at $238 million. Included within free cash flows during the quarter were approximately $25 million in non-recurring expenditures related to the Schrader and DeltaTech transactions. We expect to bring working capital down substantially next year. As a consequence we expect free cash flow to be between $400 million and $450 million during 2015. Our net leverage ratio at the end of December stood at 4.4x. On a pro forma basis accounting for a full year of Schrader our net leverage ratio was 4x. Capital allocation is a strategic imperative for Sensata and M&A remains a top priority for use of free cash flow. In the absence of near-term M&A Viva we will look to repay debt in order to bring the net leverage ratio to within our long term target range of 2x to 3x. Sensata operates on a dollar functional basis globally. However a portion of our revenues and expenses are denominated in currencies other than the US dollar. To reduce earnings and cash flow volatility for the measurement of these transactions into US dollars we hedge a significant portion of our net earnings exposure to each currency. Currently we hedge out 24 months with the intent to hedge approximately 80% to 90% of the net earnings exposure prior to the beginning of the year. As a result the impact on earnings represents a weighted average impact within the exchange rate. In the fourth quarter, foreign exchange had virtually no impact on earnings and a minimal unfavorable impact to revenue of approximately 20 basis points. Looking to 2015 we have hedged 80% to 90% of our organic net earnings exposures to foreign currency transactions. Based on our hedge position and the current strength of the US dollar we included a $0.03 to $0.04 headwind through organic earnings per diluted share in 2015 to foreign exchange. Since we hedge our net earnings exposure the impact on net revenue for foreign exchange will be greater and consequently we included an approximate 2% headwind for organic net revenue growth in 2015. Both these impacts are included in the financial guidance we are giving today. Longer term we continue to be pro-active in our efforts to minimize earnings volatility from movements in foreign exchange rates. Through those efforts to optimize our best delivered cost we also expect to naturally reduce our net foreign currency exposure over time. Now I like to comment on the performance of our two business segments. Sensors net revenue was $549 million in the fourth quarter, up 55% from the year-ago quarter, as a result of acquired revenue, robust new program launches, and growth in the production of cars and heavy trucks, partly offset by the ongoing obsolescence. Sensors profit from operations was $142.7 million, up 32% from the year-ago quarter as a result of higher net revenues and productivity gains, which more than offset the impact of price declines and increased investments in research, development and engineering to execute our growing pipeline of new business wins. Sensors profit from operations index of 26% was lower than the fourth quarter of 2013, primarily due to the impact of acquisition. Controls net revenue was $156 million for the fourth quarter, up 3.7% from the year-ago quarter, due primarily to acquired revenues from new product launches and HVAC end markets offset some of the soft demand in semiconductor manufacturing, which has recovered nicely in the early part of 2015. Controls profit from operations was $48.5 million, up 4.4% from the same quarter last year, primarily due to productivity gains and cost control. [Process] and other cost not included in segment operating income increased to $54 million in the fourth quarter. The increase was primarily the result of M&A deal cost in the quarter and the added corporate cost of the acquired businesses. Now turning to guidance for the first quarter of 2015, net revenue of $730 million to $770 million, which is at the midpoint is an increase of approximately 36% for the first quarter of 2014. At the midpoint net revenue growth for Q1 consists of approximately 34% acquired growth, 4% to 5% organic growth and 2% to 3% headwinds from foreign exchange. Our current fill rate stands at approximately 87% of the midpoint of this guidance; adjusted EBITDA of $165 million to $177 million; adjusted net income of $105 million to $115 million; and adjusted net income per diluted share of $0.61 to $0.67, reflecting a fully diluted share count of 171.2 million shares. Guidance for the full year of 2015 includes net revenue of $2.985 billion to $3.145 billion which, at the midpoint, is an increase of approximately of 27 % from 2014. as the midpoint net revenue growth in 2015 consists of approximately 23% acquired growth, 6% organic growth and a 2% headwind from foreign exchange, adjusted EBITDA of $725 million to $775 million; adjusted net income1 of $481 million to $521 million, and adjusted net income per diluted share of $2.80 to $3.04 reflecting a fully diluted share count of 171.7 million shares. In summary, we are pleased to report record revenue and earnings for Sensata for the full year 2014. Sensata continues to deliver on its promises of strong organic revenue growth combined with superior capital deployments through high-returning repeatable acquisition. We will be happy to take any questions that listeners may have. Operator, please introduce the first question.
Operator: [Operator Instructions] Your first question comes from the line of Wamsi Mohan from BofA Merrill Lynch. Your line is open.
Wamsi Mohan: Yes, thank you. Good morning. Martha, can you talk a little bit about the organic growth trend. It looks like through the course of 2014 we saw some deceleration as we went through the quarters, you have got a lot of moving pieces as we look through in 2015 given the impact of Schrader and Euro 6 being positive and OWS being a negative, so how should we think about organic growth progression as we go through 2015 and then I have a follow-up for Paul?
Martha Sullivan: Sure. So 2014 played out really very much in line with the way we called it. So you will recall that we had expected products obsolescence to have a stronger impact in the second half of the year which we did. And so, what we saw was stronger content first half 2014 slowing a bit due to that obsolescence impact as we got to the second half of the year and that’s the trajectory we’re on now. As we look to the impact of Euro 6, we’ll see the mirror image quite frankly in 2015 of the year we saw in 2014. So, when we look at backlog, the new products we know we’ll launch, the impact of Euro 6, we’ll see an increase in contribution from content as we move through the year.
Wamsi Mohan: Thanks Martha and just to clarify, you’re not including any of the content growth associated from Schrader in your comments of 7% to 8% content growth in ’15, is that correct?
Martha Sullivan: That’s correct.
Wamsi Mohan: Okay, great. And then, Paul we saw $16 million integration charges in the fourth quarter, how should that trend as we go through 2015, can you give us a rough sense of the magnitude of the integration cost that you expect in 2015? Thanks.
Paul Vasington: First thing there, 15.9 significant portion of that relates to the Schrader that we’ve been signaling that all along that we will be accelerating the integration cost into Q4 and you will see that on the gap and the portion that we view as, report as restructuring charges. Going forward we’re not to give specific numbers on all the acquisitions, but we have said that Schrader give up $48 million of integration cost each year over next three years as we integrate that business.
Wamsi Mohan: Okay, great, thank you.
Operator: Your next question comes from the line of Mark Delaney from Goldman Sachs, your line is open.
Mark Delaney: Good morning and thanks very much for taking the question. Question for Paul, you talked a little bit about the hedging program in place and FX impact that you expect for 2015, I was hoping you help us think about, how we should think about that for 2016 and I know you guys have jobs for 24 months, so imagine some of the hedges that you’re able to take out for 2015, we’re taking out before the Euro weekend as much as it has until point in time and we think it’s correspond rate for the whole, I mean, how much of incremental FX headwind would there be for 2016?
Paul Vasington: Mark that’s a great question and can’t stay why you want to know that. I think, we’re about third hedged in ’16 on the Euro, so you’re right, we did get in early, our hedge rates reflect rates that going to affect part of the down draft that you saw in the Euro in the lsat 45 days and so it will continue with our hedging program with a tenure of 24 months, we’re looking out hedging each month over 12 months to 24 months period. So, we’re going to see lower foreign exchange rates in the hedging program if rates stay the way they are.
Martha Sullivan: The only other thing I would add here is, what we focus on is protecting earnings, creating stability around our earnings. As we get into longer time period there is some things happening at Sensata that will help us naturally hedge. We talk about our best delivered cost footprint and one of the things that we have been doing now since we acquired Sensor-Nite is taking advantage of a production site and supply chain we have in Bulgaria. So, we actually have increased that footprint, we broke around on a new building, we are moving more of what we provide to Europe and to Bulgaria that will have a natural impact on hedging although the driving for this is quite frankly a much improved cost picture and optimization over the long run and the ancillary benefit is less exposure to Europe.
Mark Delaney: That’s helpful, thanks. And on profile Martha, you mentioned moving some of the center business that was previously categorized in the center segment into controls that’s more [indiscernible] you actually run the business, is there any sort of financial implications to that for the P&L that we should have in mind either OpEx or maybe potential revenue synergies by having those groups work more closely together going forward?
Martha Sullivan: We’re seeing much better growth performance. So, just to give you a little color, we put together across business team going back 18, 24 months ago to look at this particular product area which was frankly in decline inside of sensor and that’s not only turned around, but it’s growing double digits. So, we do expect that this is going to have an additive benefit to the control segment, has it really creates a content initiative inside of control.
Mark Delaney: Thank you.
Operator: Your next question comes from the line of Rob Wertheimer from Vertical Research Partners, your line is open.
Rob Wertheimer: Hi good morning, everybody. I just wanted to make sure that I understand the organic components of your outlook for ’15, you have 6% content, 6% overall I think, price downs included in content and I guess as the implication that your total end markets are flat overall?
Paul Vasington: We said 7% to 8% content growth that does not include pricing dig downs. So, the organic growth is 6% content, 7 to 8 we’ve to – so, on price we’re assuming markets to be relatively flat in 2015.
Rob Wertheimer: Perfect, okay, thank you. And then, just very briefly, any other headwinds to the content 15 from legacy or just up class and I assume we’re getting past and you mentioned that you saw the comp affect. And then, just in general, your thoughts on, as you look out with your conversations with auto OEMs, the impact was stimulus impact of lower oil, do you think that’s kind of embedded in what you’re seeing and what your customers are seeing or do you think there is more upside risk based on oil [indiscernible]? Thanks.
Martha Sullivan: I think to answer your first question, there is a lingering tail on the product adolescence we’ve been discussing now for quite a while until the first half of ’15 which is why we expect content growth in combination with Euro 6 launch to be stronger in the second half of ’15 than it is in the first. Your question relative to oil and price of gas, I think the impact we’re seeing is some vehicle shift in the marketplace that does not have a big impact on Sensata, so there is greater take rate on SUVs, plug in electric vehicles are piling up, not a lot advent for those, none of that has a huge impact on Sensata as overall content. We think the current demand rate reflects the discretionary income that consumes resourcing and we think it’s great for the overall market. Keep in mind the current prices could increase significantly and still stay well below in our gasoline prices that we saw even two years ago. So, between that credit and places like Europe built up scrapping demand, we think it continues to be a good market.
Rob Wertheimer: Okay, thank you.
Operator: Your next question comes from the line of Ambrish Srivastava from BMO Capital, your line is open.
Ambrish Srivastava: Hi, thank you. I had a question on seasonality, now that you have quite a few acquisitions in there, as we look through the year Paul and Martha, how should we be thinking about seasonality versus what we’re custom to over the last several years? And then I had a follow up as well please.
Martha Sullivan: Yes, you’re going to see some dampening on our normal seasonality, there is no question. Part of that is you’ve got the addition of Schrader which will be more like our sensors overall business and so, think of more the sensor seasonality as you think of Schrader. The compounding aspect of that and it’s a good challenge is that Schrader’s growing business. So, Schrader in of itself has content growth and in 2015 that will further blur the overall seasonality. So, we will expect to see stronger second half and we normally would when we think of our seasonality.
Ambrish Srivastava: Okay. And then, Martha, in the past you do give us the business versus the auto manufacturing in Europe as a sign of how you’re doing in Europe, what was the number for the full year?
Martha Sullivan: Trying to understand the question, you’re asking about our overall revenue?
Ambrish Srivastava: Yes. And you always give us an indication of European growth versus auto production growth as a sign of how you’re doing in Europe?
Martha Sullivan: Yes. So, it was another month of increased registration. I think in total the registrations were up 5.6% from the demand perspective. Our revenue is up stronger than that as you can see in overall Europe. So, as the marketplace continues to develop as we had expected, we are expecting a slight improvement in the production rate as we go from 2014 to 2015 in Europe. That's a little bit better of a call then you will see for example from IHS. So, not major help from the marketplace, but we do simply see 1% to 2% improvement on production.
Ambrish Srivastava: Okay, and I had a quick follow-up please if I could. Order trends and I know you folks see changes in business relatively quickly reflected in your order rates, as you look compared this year versus last year heading into a new year, what are order trends telling you in terms of the overall health of the business? Thank you.
Martha Sullivan: Backlog feels good. We talked about our fill rates very typical. So, fields like normal business we saw some challenges in the fourth quarter around for example the off road equipment market. So, we could see some correction there in the fourth quarter that's coming back as expected. So, we feel very familiar in terms of what backlog should look like when we enter New Year.
Ambrish Srivastava: Thanks much.
Operator: Your next question comes from the line of Rich Kwas from Wells Fargo. Your line is open.
Richard Michael Kwas: Just I wanted to delve into the market assumptions. So Martha, you just talked about 1% to 2% growth in European auto production, North America should be up, China should be up. That's a good chunk of your business auto. What are the offsets that get you to flat market assumption for the year?
Martha Sullivan: Yes, it’s in some of these ancillary areas for us Rich, keep in mind that rest of Asia is not up, it's actually down when you look at Japan and Korea, China is slower than what we would have seen in 2014, but yes you’re right, we expect that to be up. When we look at things like agriculture, construction where we deliberately increase our exposure that's not going to be a lot of help there when we look ahead of 2015. I’d say the other areas less impactful, but part of the equation when you look at some of the elements of the China domestic market where we have controlled exposure, we are not going to get help from that part of the business.
Richard Michael Kwas: Okay. So, is it fair to say overall global auto up some, but then being offset by parts of heavy vehicles to our point, [indiscernible] China for the domestic market?
Martha Sullivan: That's it, exactly.
Richard Michael Kwas: Okay, alright. And then, on Controls Paul, so margin was better year-over-year, but we’re expecting a bigger ramp here in the second half, I think you talked to that in the middle of the year, last year, what’s going on there as we think about ’15?
Paul Vasington: So, I think it continues to improve into ’15 as we continue to get more productivity out of the manufacturing process, I think, little like this year volumes were little lighter in the second half particularly in the fourth quarter, little bit of volume we had better margin rates so it’s – if that comes back in Q1. So those are two key drivers. Across the year, I mean, we definitely ramped up and will continue to move up in ’15.
Richard Michael Kwas: Okay. So, it’s kind of steady improvement? Last one on Euro 6, what was the benefit for ’14 and then, is the target still 75 million to 100 million of content benefit exiting ’15, is that’s the least assumption?
Martha Sullivan: We’re still in that assumption, it came in a little bit stronger at the end of the year and so we had expected to finish at about 10% take on that and another with 10% of engines that would need to convert. We expected to beat Schrader, it was actually a little bit stronger as we got to the end of the year up a couple of 100 basis points there. But, very much on track to a strong ramp in the second half of the year, so it’s an important contributor to content growth for Sensata this year.
Richard Michael Kwas: Okay, thanks, I’ll pass it on.
Operator: Your next question comes from the line of Craig Hettenbach from Morgan Stanley, your line is open.
Craig Hettenbach: Yes, thank you. Just following up on the sensors within the Controls piece and sounds like that business has been reinvigorated, can you just talk about just kind of the pieces that you have in that market and how you envision the growth opportunities for a industrial type applications overtime?
Martha Sullivan: Sure. So again it’s not a hedged business, we are talking about 65 million, 70 million in revenue, really right in the sweet spot of what we do well, if you think about pressure sensing and the opportunity to leverage very cost effective sensing technology developed over on the centre side of the house. The opportunities that we see range from the installation of sensor in variable flow, unitary air-conditioning, we are getting some wins on that front. Lots of industrial applications around infrastructure, they come in volume chunks that are a little off the radar screen for the high volume sensors business and this team inside controls is really adapt at growing in fragmented end market. So the fit has been really nice, we’ve seen the topline have an impact and now we’re fully integrating that product line into Controls.
Craig Hettenbach: Got it. Thanks for the call there and then as a follow up maybe for Paul, as we can think through kind of the Schrader integration. Any milestones we should think about moving through the year in terms of margins and as equation ramps?
Paul Vasington: So as we said, the integration of Schrader is going to take longer than the normal two years we have talked about or 18, 24 we talked about. The integration will be about three year period. The integration is going very well. The teams are highly engaged. We put forward in our restructuring plan, the new solid charge in these results here that that supports that. The business is ramping up very well. Our teams are working with the Schrader teams together. We are creating a lot of value within the business and meeting customer demand and we expect that to continue into 2015. So, 2015 from my perspective is continued execution of the ramp up in Europe, strengthening the innovation plan and starting to work that as we get into 2016 and 2017.
Craig Hettenbach: Got it. Thank you.
Operator: Your next question comes from the line of Amit Daryanani from RBC. Your line is open.
Unidentified Analyst: Hi this is [indiscernible] filling in for Amit here. Set of quick questions first on gas prices. So, given that there is a large reduction, do you guys see any shift away from basically diesel vehicles to gas vehicles and how that would impact your business?
Martha Sullivan: Yes, I think we answered the question, you really have to put it in the European context. When we look at diesel take rates we’ve seen slight shift, nothing dramatic, we saw about 1% decline earlier last year. But to your point about fuel prices, diesel continues to be less expensive than gasoline and now we are talking on Euro to liter basis, now for example, right now in France, they have done a little bit of vocal about diesel, you are looking at something like a 30 [Euro cent] advantage for diesel. On top of it, diesel is significantly more fuel efficient than gasoline. So, even with the enhancements and things like gas direct injection and adding turbo charging, the volumetric efficiency that you get from diesel make them a very attractive investment for European consumers and that continues to be the case.
Unidentified Analyst: Great. And then, one quick follow-up if I may. So, for the 2015 guidance, can you provide any granularity basically on the organic versus inorganic growth and the FX impact on the bottom line, I understand the top line portion, but I wonder how that flows to that EPS side?
Paul Vasington: I understand your question, we gave an indication of $0.03 to $0.04 impact on the bottom line attributing to FX.
Unidentified Analyst: So, any color on organic versus inorganic growth as well, that impact on the bottom line as well?
Paul Vasington: So we think the guidance for the required revenue is appropriate and takes that into account.
Unidentified Analyst: Got it. Thank you.
Operator: Your next question comes from the line of William Stein from SunTrust. Your line is open
William Stein: Great, thanks for taking my question. I am hoping you can talk about earnings contribution for the other two big deals done in the last year DeltaTech and Wabash, you gave us expected EPS contribution from Schrader, I’m wondering if we can hear about the other two?
Paul Vasington: So, Wabash continues to integrate. It's now finishes first year, has performed as expected. We expect to get a little profitability improvement next year, but it's not significant given the size of the business. But, it will improve a bit. And as it relates to DeltaTech, DeltaTech we acquired in August, its deepened integration, we are not expecting it to contribute much next year in terms of profit. So, 2014 and 2015 will be fairly similar on the bottom line although we will get more revenue, but since we’re on the business for and extended for seven additional months.
William Stein: Great, thanks and one follow-up if I can. There was step up in RD&E in the quarter and you may have said something about that in your prepared remarks. So apologies if I missed it, but can you comment as to what that relates to and whether that is more of an ongoing increase in RD&E or is that more of a sort of special onetime thing?
Paul Vasington: So, we’ve talked about the increased in resource development and engineering cost going along, needed to support our growing this pipeline. The spike that you are seeing in addition to that needed growth to support that growth into the business is related to acquisition, so as we’ve been layering on DeltaTech and Schrader those costs are increasing because of those acquired businesses.
William Stein: Thank you.
Operator: Your next question comes from the line of Shawn Harrison from Longbow Research. Your line is open.
Shawn Harrison: Hi, first question I wanted to go back to Schrader better than expected performance in the fourth quarter, so it was only $0.05 dilutive. But, you are holding onto the $0.18 to $0.21 accretion forecast for 2015, if you could just help me bridge the upside in the fourth quarter with me for maintaining 2015 guidance?
Paul Vasington: On the cost side, we are right where we thought we’re going to be for the most part. On the top line we are much better and the business performance is very, very well and we are able to execute on all the demand that the customers are bringing to them and we are able to get their capacity online. So, the revenue was higher than we expected and that contributed to the over delivery results from Q4. For 2015, we’re onto the planned process and we feel comfortable with the revenue they are going to produce next year and that still supports the $0.18 to $0.21 EPS that we originally guided to.
Shawn Harrison: And that revenue number is still 600 million or is it higher than that?
Paul Vasington: We said it was about 10% growth off of 2014 so it will be a bit higher than the 600.
Shawn Harrison: Okay. Second question, just hoping for some commentary on both debt reduction and interest expense, so maybe interest expense for the first quarter and kind of how do you expect to use all free cash flow next year to take down that maybe is there, I know you have 6.5% notes out there that could potentially taken down just discuss maybe what options you are looking at with that reduction?
Paul Vasington: So, we’ve talked about our capital allocation strategy and any M&A that’s M&A, we are going to continue to use our free cash flow to pay down debt and that still in the plan for 2015. We have pre-payable debt in terms of term loans, we have some revolving credit debt outstanding. So, we will continue to pay that debt down as the free cash flow is generating and comes into the business.
Shawn Harrison: Okay, just an interest expense number for the first quarter again?
Paul Vasington: No, we don't give out that level of detail.
Shawn Harrison: Okay, thanks anyway.
Operator: Your next question comes from the line of Christopher Glynn from Oppenheimer. Your line is open.
Christopher Glynn: Hi, good morning. So, you talked about active engagement with the M&A pipeline. It sounded pretty enthusiastic, but 4x pro forma leverage versus 2x to 3x target, how do you think about the liquidity against that acquisition pipeline, it seems pretty attractive?
Martha Sullivan: Again, if you look at our past, our track record and you look into the comments that we have been making, we are excited, we have a number of dialogs that are interesting, we have patience. The other thing I would tell you is acquisitions are not a linear process and so each one of these projects is on a timeline of their own. We will make sure that given the right acquisition, we have the [indiscernible] and the timeframe to get that done. I think as Paul commented earlier, in the near term will continue to pay down our debt.
Christopher Glynn: Okay. And what was the adjusted EBITDA in the fourth quarter just reported?
Paul Vasington: 603 for the full year, 158.7 the quarter.
Christopher Glynn: Okay. Thank you.
Operator: Your next question comes from the line of Jim Suva from Citigroup. Your line is open.
Jim Suva: Thank you very much and congratulations. Can you give us a couple of examples of the integration of Schrader in the timeline of what we can expect whether it’s ERP systems, manufacturing, you mentioned a multi-year plan, but if you could just help us visualize in context labor product, what is in process now and that is in process down the timeline, so we kind of think about the milestones and some efforts. Thank you very much and again congratulations.
Martha Sullivan: Sure. A couple of near term ones that they were executing right now. We have already released capital for production in China or tire pressure something products that’s really an important milestone because the market there wants suppliers to produce there and Schrader was not doing that. The great thing about our matchup is, we have existing space and capability in Jiangsu, China where we produce today. And so, we already have a team of people on the ground looking at that space readying that space, training people, expect that product line to be in place for us probably late ’15, early 2016 that’s an important milestone. With that action we have been able to say to Chinese OEMs we commit to being there for you. And they have committed to us ahead of actually having the production in place. So, we actually were awarded a pretty significant piece of business in China as a result of the match up here, so that’s just one example. I think in terms of actually integrating, aligning up systems, we have down all of the obvious things we’re well connected on the parts of our IT infrastructure that we’re happy to communicate well. We are taking advantage of the fact that Schrader brings significant scale in low pressure sensing. And so, what do we mean by that there are portions of our material spend that allow us to improve our cost structure in low pressure sensing and so we can talk about when that we’re having a low pressure sensing, our content growth will be, this will be part of maintaining our 7% to 10% content growth as well. So, I think those are good examples. The fact that this is the business that is accretive early on is another example of what you should watch to make sure that we are on track with our overall integration.
Operator: Thank you. Your next question comes from the line of Steven Fox from Cross Research, your line is open.
Steven Bryant Fox: Thanks, good morning. Just one question from me, Martha, you talked about in the beginning of the presentation new business wins that totaled $400 million in 2014, can you just sort of talk about the internal dynamics and maybe the market dynamics that drove that uptick and how that sort of goes through the numbers in 2015? Thanks a lot.
Martha Sullivan: Right. And so, we talked about Sensata being a long cycle business. Keep in mind the new wins we’re securing today begin production generally three years out and get to what we call typical stable year sometimes even beyond that. So that's important to understand. What we are doing now will contribute most likely in the 2017, 2018 and even 2019 timeframe and that's why we maintain confidence about our continued organic growth rates. What we are seeing are the same familiar [friends] to us, things like energy efficiency is driving a lot of design end around things like gas directed injection. We are seeing lots of fuel type applications increasing in overall content contribution. Tail pipe applications around high temperature sensing, low pressure sensing, we have some great new wins in China probably between China and Europe that it continues to drive the preponderance of our content growth. So again, the organic growth of Sensata is less about what those end markets are doing and a lot more about where we are being designed in.
Steven Bryant Fox: Great, it’s very helpful, thank you.
Operator: And your last question comes from the line of Rich Kwas from Wells Fargo. Your line is open.
Richard Michael Kwas: Hi, just couple of quick follow-ups. Martha on the [agg] and on the off road piece, is there any way that we can get an assumption behind the markets broadly speaking industry wide for this guidance for this year? There is a way it's going to be down and then if you are going to grow outpace that is that how should we make that assumption?
Martha Sullivan: Yes, I think we can help you there. I don't have that at my finger tips Rich, but that's probably information we can help with. We will outpace it a lot of the growth we are seeing in off-road is in DeltaTech which does grow year-over-year despite the weakness in the overall [agg] market. So that's a straight forward answer to your second question.
Richard Michael Kwas: Okay. So, DeltaTech will, if DeltaTech was separated it still grow year-over-year?
Martha Sullivan: That’s correct.
Richard Michael Kwas: Even with the macro. Okay, and then, just last one on the new business wins, the $400 million is that a gross number or net of programs that you are already on where you’ve added content? I just want to clarify that.
Martha Sullivan: Let me make sure to clarify you appropriately. It is what we call a net number, but what we look at is what do we know is going to roll – going to move off your businesses that we are not going to get and businesses that we are going to get. So it's a net-on-net impact. In terms of applications that are already launched and growing, those would have been in previous year closure rate. So that is not included.
Richard Michael Kwas: So this is all new business that you won during the course 2014 that's not part of any other estimates you have given previously, correct?
Martha Sullivan: That's correct.
Richard Michael Kwas: Okay, great, thank you.
Operator: As there are no more questions, I would like to turn the conference call back over to Mr. Sayer for closing remarks. Mr. Sayer.
Jacob Sayer: Thank you, Keith. I'd like to thank you all for joining our fourth quarter and full year 2014 financial results call today. Sensata will be participating in Goldman Sachs Technology Investor Conference in San Francisco on February 10. Barclays Industrial Investment Conference in Miami on February 18 and Goldman’s Leveraged Finance Conference in New York on March 11. We’ll also be hosting an investor event, the afternoon on February 24 at our Attleboro, Massachusetts headquarters. Each of these events will be webcast live and available for replay from the investor section of our website at sensate.com. We appreciate your continued interest and in support to Sensata and look forward to speaking with you on the road again next quarter. Thank you, and goodbye.
Operator: This concludes the call for today. You may now disconnect.